Operator: Good morning, ladies and gentlemen, and welcome to the Altimmune Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I'll now introduce your host for today's conference call, Lee Roth, President of Burns McClellan Investor Relations Adviser to Altimmune. Thank you, and over to you.
Unknown Executive: Thank you, operator, and good morning, everyone. Thank you for joining us for Altimmune's Third Quarter 2025 Financial Results and Business Update Conference Call. On today's call, you'll hear from Dr. Vipin Garg, our Chief Executive Officer; Dr. Christophe Arbet-Engels, our Chief Medical Officer; Linda Richardson, our Chief Commercial Officer; and Greg Weaver, our Chief Financial Officer. Following management's prepared remarks, we'll open the line for the Q&A session. Our third quarter 2025 financial results and corporate update press release was issued this morning and can be found on the Investor Relations section of the Altimmune website. Before we begin, I would like to remind everyone that remarks made about future expectations, plans and prospects constitute forward-looking statements for purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Altimmune cautions that these forward-looking statements are subject to risks and uncertainties that could cause our actual results to differ materially from those indicated. For a review of the risk factors that could affect the company's future results and operations, we refer you to the company's filings with the SEC. I also direct you to read the forward-looking statements disclaimer in our press release issued this morning, which is now available on our website. Any statements made on this call speak only as of today's date, November 6, 2025, and the company does not undertake any obligation to update any of these forward-looking statements to reflect events or circumstances that occur on or after today's date. As a reminder, this call is being recorded and will be available for audio replay on the Altimmune website. With that, it's now my pleasure to turn the call over to Dr. Vipin Garg, President and Chief Executive Officer of Altimmune. Vipin?
Vipin Garg: Good morning, everyone, and thank you for joining us today for our third quarter financial results and corporate update. This is a very exciting time for Altimmune. We are on the brink of a major inflection point with our clinical programs. Pemvidutide, the foundation of our pipeline is ripe with opportunity to redefine treatment for those with serious liver diseases like MASH, alcohol use disorder, or AUD, and alcohol-associated liver disease or ALD. On today's call, we will emphasize a few key points: the upcoming Q4 milestone of the 48-week IMPACT data readout, the in-person end of Phase II meeting with the FDA in Q4 that was recently granted, the continued strengthening of company's balance sheet and the recent talent additions to the executive team. The 24-week data from our IMPACT trial shared earlier this year established rapid efficacy of pemvidutide for those with MASH, providing potential best-in-class MASH resolution shortly after initiating treatment and compelling antifibrotic activity and weight loss. The convincing nature of these data has allowed us to move into preparations for Phase III and to receive confirmation of an in-person end of Phase II meeting scheduled with the FDA before year-end to gain agreement on the design for our Phase III program. We also look forward to the 48-week data from the IMPACT trial, which we expect to share before the end of the year. Beyond MASH, we announced that we have successfully completed enrollment in the RECLAIM Phase II trial of pemvidutide in AUD. The rapid enrollment of RECLAIM which was completed ahead of schedule, is a testament to our team's continued ability to execute and the significant interest from patients and physicians in pemvidutide as a potential new therapy. In addition, we began enrolling the ALD Phase II trial in the third quarter. As our clinical programs progress, we are ensuring we have the necessary financial resources and executive talent in place to support the next phase of our growth. This includes the recent expansion of our leadership team with the appointment of Dr. Christophe Arbet-Engels, as Chief Medical Officer; Linda Richardson as Chief Commercial Officer; and Robin Abrahams as Chief Legal Officer. With that, I'll turn the call over to Christophe to speak further to our promising pemvidutide programs. Christophe?
Unknown Executive: Thank you, Vipin. I am very pleased to be here today and to be joining the Altimmune team at such an exciting juncture. From my perspective, I recognize the significant potential of pemvidutide for the treatment of patients with MASH, AUD and ALD. Given its 1:1 glucagon GLP-1 ratio, pemvidutide is uniquely designed to maximize the contribution of each mechanism. In effect, pemvidutide is a combination therapy in a single molecule. Early data from the IMPACT trial demonstrated the potential of this dual mechanism of action with rapid and robust MASH resolution achieving statistical significance at just 24 weeks. I want to reinforce how meaningful the observed efficacy is at this early time point as most other MASH program achieved this level of response only after treating for 48 weeks or more. The 24-week results demonstrated significant and very encouraging anti-inflammatory activity based on biopsies and a range of noninvasive tests, which are becoming increasingly important in clinical practice and in the ongoing regulatory conversation. The statistical significance achieved across a panel of NIT we are assessing in the IMPACT trial provides strong support for pemvidutide antifibrotic effects, which we will look to continue to assess in the upcoming 48-week readout. Speaking of the 48-week readout, we look forward to assessing the data and the potential of a longer treatment duration on NIT measurement, as well as further weight loss. Recall, we had early and significant MASH resolution in our 24-week biopsy data and strong evidence of antifibrotic activity supported by the NIT analysis, along with the continuing weight loss and excellent tolerability. The emerging recognition that improvements in certain NITs are likely to translate to clinical improvement has led regulatory agencies to consider allowing the use of NIT data as a measure of efficacy in MASH clinical trial. In clinical practice, MASH patients are often diagnosed and courses of treatment determined based on these noninvasive tests and the possibility of the regulatory agencies more closely aligning with clinical practice bodes particularly well for pemvidutide given the strength of our NIT data. Dr. Mazen Noureddin, lead investigator on the IMPACT trial will deliver a late-breaking oral presentation on the 24-week IMPACT results at the upcoming annual AASLD Liver Meeting. The acceptance of this abstract reinforces the significance of the data from the IMPACT trial and pemvidutide's opportunity in the broader MASH landscape. Our confidence in pemvidutide is underscored by the collective data surrounding the molecule from the 7 trials completed to date. We are now preparing for a scheduled face-to-face end of Phase II meeting with the FDA before year-end to review our proposed Phase III MASH program. The Phase III trial will include the flexibility of using NITs and AI reads as an approvable endpoint in our registrational program if regulatory process moves in that direction. Beyond MASH, we believe that the balanced glucagon and GLP-1 agonism that is the hallmark of pemvidutide makes it a promising therapeutic candidate in both alcohol use disorder and alcohol-associated liver disease. In AUD, we have completed recruitment and randomization in the RECLAIM trial that we were able to fully enroll this trial ahead of schedule is a strong indicator of the significant interest and major unmet need in this indication. We look forward to reporting results next year. Our ALD trial, RESTORE, was initiated in the third quarter and enrollment is ongoing. Importantly, patients with ALD currently lack any approved therapies, and we believe pemvidutide's dual mechanism of action may make a difference for these patients. We look forward to these results of these trials and further understanding the potential of pemvidutide in the additional large patient population of unmet need. I am excited to be at Altimmune and to lead these programs forward. And with that, I will turn the call to our Chief Commercial Officer, Linda Richardson, to discuss how we are preparing for Phase III success in MASH. Linda?
Linda Richardson: Thanks, Christophe, and good morning, everyone. It's great to be here at Altimmune at this exciting time, and I echo Christophe's enthusiasm for joining this team and helping to shape the future of this significant therapeutic candidate. A quick background on me. I've been involved in all facets of commercialization for over 30 years at organizations of all sizes. I have experience in MASH, rare hepatic diseases, cardiometabolic diseases, including diabetes and dyslipidemia and addiction medicine. We have a great opportunity in front of us with pemvidutide in MASH as well as AUD and ALD, and I look forward to helping prepare for potential commercialization in each of these areas of high unmet need. My decision to join Altimmune was driven by the opportunity to bring real therapeutic advances to patients and the providers that care for them. Pemvidutide has this potential. Why do I believe this? With pemvidutide, we have one therapy that provides 2 important mechanisms of action, delivering improvements on 3 critical elements of MASH management. The single therapy is clear. The 2 mechanisms of action, glucagon and GLP-1 agonism in a balanced 1:1 ratio provide both direct liver effects and metabolic improvements, resulting in 3 important benefits for patients: one, rapid MASH resolution in as soon as 24 weeks; two, anti-inflammatory and antifibrotic effects in the liver as demonstrated in multiple NIT assessments; and three, quality weight loss, including lean muscle sparing effects. Additionally, pemvidutide has demonstrated a potential best-in-class tolerability profile with low discontinuation rates in the IMPACT trial. This could be another differentiating feature compared with other MASH therapies. My enthusiasm aside, I would like to highlight some feedback from recent market research we did in Europe. Health care professionals in a small group of payers were provided with a projected blinded product profile of pemvi along with other blinded profiles of current and future potential MASH therapies. First, 70% to 80% of the physicians surveyed indicated a high or very high likelihood to prescribe pemvidutide based on the blinded product profile in both F2 and F3 patients. Here are some representative qualitative comments from hepatologists on pemvi's differentiating features. It's quite impressive, the fibrosis and the weight loss seems to be a class leader and the side effect profile is good. And another quote, "For overweight and obese patients, it would be my go-to substance, my first-line approach, more powerful than other dual agonists with strong fibrosis data. Lean mass preservation would be a meaningful differentiator, very important in MASH and chronic liver disease. This is very encouraging early feedback. In particular, the significance of demonstrating lean muscle mass preservation is potentially very differentiating. There is growing interest in the prevalence and effects of sarcopenia in patients with MASLD. A 2024 meta-analysis found that sarcopenia was associated not only with progression, but also correlated with MASLD-associated mortality. Other publications project that the prevalence of sarcopenia may be as high as 1 in 4 patients. Initial payer feedback was also encouraging. Payers provided us with a positive reimbursement outlook across the EU with broad coverage expected given payers' positive perception of the pemvi value proposition. We will continue to identify aspects of pemvidutide therapy that may be important to payers, particularly as more therapies enter the MASH field. Patients and prescriber receptivity is critical, but reimbursement and access are equally important elements of a successful product launch. I've had the opportunity to work closely with our clinical team to incorporate specific endpoints that we believe will be important drivers of market uptake and support a successful launch following potential regulatory approval. It's an optimal time to ensure that commercial considerations are designed into the Phase III MASH program to accentuate the differentiators of pemvidutide from current approved therapies and those to come. Alongside MASH, the AUD and ALD programs are very exciting and could expand substantially the addressable market for pemvidutide. The rapid recruitment of our AUD trial that we discussed earlier is evidence of interest in this space and the patient need for new therapeutic options as well. In closing, I'm very excited to be here at Altimmune at such a crucial time. I look forward to continuing to update all of you on our commercial vision, plans and expectations for pemvidutide. I'll now turn it over to Greg to review our financial results for the third quarter.
Gregory Weaver: Thank you, Linda, and hello. Beginning with our balance sheet at September 30, total cash was $211 million, representing an increase of 60% over our cash position at the start of the year. We've made measurable strides as we source capital through a combination of available options, having raised $127 million through the first 9 months of the year, building the cash position required to support our key development milestones. Another step we've taken to add to our financial flexibility was to amend our Hercules debt agreement, where we increased the overall facility size to $125 million and funded $20 million on executing that amendment today. The amendment improved several of the key terms extending the interest-only period, for example. You'll see that we're filing a $400 million shelf registration today, along with a new $200 million ATM facility. Consider these filings as part of our ongoing effort to assure the financial tools are in place to meet our needs going forward. Our cash position continued to strengthen through Q3 and into Q4. I'm happy with the trajectory and confident in the ability to build the balance sheet required to meet our development needs and position pemvi for success. Now to comment on the Q3 and year-to-date financial results. R&D expenses were $15 million for the 3 months ended September 30, '25, compared to $19.8 million in the same period of 2024. The 3-month variance in R&D spend was related to the timing of CRO development cost year-over-year. The Q3 2025 spend included $9.2 million of direct costs related to pemvidutide development, including roughly $3.7 million for the IMPACT Phase IIb trial, $3.4 million for AUD and ALD start-up costs and $1.3 million for CMC. G&A expenses were $5.9 million and $5 million for the quarter ended September 30, 2025 and 2024, respectively. This increase was driven by professional fees and noncash stock-based compensation. To note, the total noncash stock-based comp was $3.6 million in Q3 and $11.1 million year-to-date. No surprises there. Net loss for the third quarter of 2025 was $19 million or $0.21 of share compared to $22.8 million or $0.32 per share in the third quarter of last year. So, in summary, we are well positioned in terms of our financial footing. And with that, I'll turn the call back to Vipin for some closing remarks.
Vipin Garg: Thank you, Greg. As highlighted today, we look forward to sharing the 48-week IMPACT data in Q4 and to discussing our progression into Phase III clinical development at our end of Phase II meeting with the FDA. As always, we thank you for your continued support and look forward to sharing further details of our progress. This concludes our formal remarks, and we would now like to take questions. Operator?
Operator: [Operator Instructions] We have the first question from the line of Roger Song from Jefferies.
Jiale Song: Congrats for all the progress. Maybe a couple of question. First is on the upcoming 48-week data from the Phase II IMPACT MASH. So how much of the data will inform your conversation with the FDA and then also the Phase III design? And then what's the current thinking about the Phase III in terms of the 24 versus the 48-week time point and then the NIT and AI biopsy-driven AI-based biopsy endpoints?
Vipin Garg: Yes. Roger, thank you for the question. So as far as the end of Phase II meeting with the FDA is concerned, as you know, the end of Phase II meeting was requested on the basis of the 24-week data. So really, there would not be any 48-week data that would be part of that discussion at this point. Obviously, we will submit 48-week data when that's available. But we believe and apparently, the FDA agrees with us that we have sufficient data at 24-week to request and now FDA has granted a meeting to us on the basis of that data. So, I think we're in a good shape. Christophe, did you want to add anything to that?
Unknown Executive: No, I think that's correct. The 24-week data were strong enough to grant the submissions and grant the meeting, and we are in good shape with those discussions by the end of the year.
Vipin Garg: And about the 48-week data, I think, Roger, did you want to repeat your question, please?
Jiale Song: Yes, sure. So just the 48-week data, how -- what's the current thinking about the Phase III design based on the 48-week data?
Unknown Executive: So the 48-week data, we expect to continue confirming what we've seen in the 24-week data and the strength of this with the added weight loss and hopefully as well on the needs. We are in discussions. We will be discussing with the FDA this current regulatory environment with the potential change from those biopsy readings to the needs, and we will have more clarity when we meet at the end of Phase II meeting.
Vipin Garg: Yes. And our goal, Roger, is to design a very flexible trial, Phase III program, so we can take advantage of any of the changes that take place whenever they take place. So, we'll go in with a very comprehensive, flexible design in terms of the Phase III program and should changes take place over the course of next months and year, we can certainly incorporate them and pivot to those and appropriately change our endpoints when that happens.
Operator: We have the next question from the line of Yasmeen Rahimi from Piper Sandler.
Yasmeen Rahimi: And congrats on the RECLAIM enrollment completion. I guess the first question is based on sort of discussion with the key opinion leaders in the space, do you have any idea in like, I guess, the probability of the different scenarios of potentially using NITs or AI-based histological reading. If you could just maybe help us understand based on the 3 scenarios, which one they think has a high probability of being able to get a sign-off. That's question one. And then question two is, help us understand, I guess, the advantages of using AI-based biopsy reading versus traditional histology reading and especially when it comes to Phase III studies and if any other sponsors have implemented that? And then the third question is on RECLAIM, maybe help us conceptualize what would be considered a clinically meaningful endpoint in the primary endpoint there. And I'll jump back in the queue.
Unknown Executive: All right. So, I will start with the NITs. The NITs, there are a lot of different discussions ongoing at this point in time. We're going to -- we are aware that some of these discussions will occur with the AASLD meeting coming up at the end of this week, and we will learn more around that. We know the FDA is looking through the -- at this very closely. And there is -- from our understanding, there is an increasing interest to look at those NITs. So as Vipin shared, we are designing our Phase III in order to really have the flexibility to adapt to any changes on the regulatory landscape. On the AI, there are differences. The histopathologist in general, look at a narrow part of the slides and estimate the level of fibrosis based on a number of criteria, but that introduces quite a large amount of variability and the AI on the other aspect look at the total area of fibrosis and doesn't quantify the stages only, but allows just a gradual and more comprehensive evaluations of the slides. So, this is something that allows for rapid evaluations with less variability. And we know that this has been already approved by the EMA as an approach to look at the biopsies. And the last -- the third point was, I'm not sure I fully heard the questions on the primary endpoint if you, that was…
Vipin Garg: The RECLAIM trial.
Yasmeen Rahimi: That's right.
Unknown Executive: Yes. The RECLAIM trial. So, the primary endpoint of the RECLAIM trial is the number of heavy drinking days that we are going to be looking at and those change from baseline.
Vipin Garg: Yes. It's the number of heavy drinking days per week that's...
Unknown Executive: Per week, correct
Vipin Garg: That's the endpoint that we'll be looking at. And Yasmeen, we're really excited about the fact that this trial enrolled almost 5 months earlier than we were expecting. So, it really shows the critical unmet need out there and the fact that physicians and patients really like the drug. And so, we're really excited about that.
Operator: Do you have any follow-up questions?
Yasmeen Rahimi: Thank you. I'm good.
Operator: We have the next question from the line of Patrick Trucchio from H.C. Wainwright & Company.
Patrick Trucchio: At 24 weeks, you reported statistically significant antifibrotic activity across multiple NITs. And I'm wondering what magnitude of change of 48 weeks would reinforce this confidence in fibrosis improvement as a key Phase III endpoint? And then separately, I think you've referenced expectation of continued weight loss through 48 weeks. What level of incremental loss or lean mass preservation would confirm pemvidutide's quality weight loss advantage and support differentiation?
Unknown Executive: So at -- yes, at 24 weeks, we saw very strong data on our fibrosis and we continued to see the weight loss that was not plateauing. As you know, some of the NITs can evolve at different time of the improvement for each of those patient. So, we continue to believe based on this, that we will see added improvements at the patients on the study at 48 weeks after our 24 weeks. And we will see which one. We expect, for example, maybe lever stiffness to be something that should be improved, and we will have those data very soon. So, we're really excited about this. And again, with what we've seen on the 24-week, that bodes well for what hopefully we should see on the 48-week.
Vipin Garg: Yes. And the weight loss, we -- as you said, Patrick, we expect to continue to have additional weight loss, just like we saw with our MOMENTUM trial. And just to remind everybody, this wasn't even our best dose in terms of weight loss. It was 1.2 and 1.8. So, the 2.4 milligram, we get even higher weight loss. So clearly, there's plenty of runway there in terms of achieving additional weight loss as well. And just to clarify, as far as the NITs are concerned, they don't all move in tandem. Some of them move early, some move later. So, what we need to show at 48 week is continued maintenance of many of these NITs because we've already achieved such high levels and then additional improvement in some of them.
M. Roberts: Just to bring the weight -- this is Scott Roberts. Just to bring the weight loss back home, recall that of the direct-acting MASH agents that work directly in the liver, for example, the FGF21s, the thyroid beta agonist, there is no weight loss associated with that. So, we're already ahead of the game with respect to direct-acting agents. And so any additional weight loss and the shape of the curve with a not plateauing certainly bodes well for realizing more weight loss is really just icing on the cake.
Linda Richardson: Yes, I think I'll touch on -- this is Linda. Thanks for the question. I touched on a little bit this concept of lean muscle mass sparing. When you look at various agents and you look at the studies, most of this has been seen in weight loss studies. So, we look at pemvidutide and the MOMENTUM trial, and we had the -- really a study duration of 48 weeks where our lean loss ratio was about 22% compared to other agents that were in the 39%, 26%, 37% range across the board. This matches more closely what natural weight loss would look like if you were doing traditional diet and exercise. You're always going to see some impact on lean muscle, but this matches what you would see kind of in the routine weight loss field. When we look at that and we see our weight loss, building this promise into studying in Phase III further, what happens in a longer trial when we have our 52-week study data from a Phase III, if we see continuing loss of weight but muscle mass preservation, this would be extremely interesting to the field. And when we're looking at a forward testing product profile, this is one of the advantages that we very well may have. So, when I talked about working closely with the team, putting in these markers and preparing to evaluate them fully in a Phase III trial is exactly the kind of thing that I need to have that can resonate with payers and physicians and patients down the line. So that's kind of bringing all of what we know about our product together and ensuring we have the best shot on goal in Phase III.
Operator: We have the next question from the line of Jon Wolleben from Citizens.
Jonathan Wolleben: I was hoping you could talk a little bit about alcoholic use disorder and alcoholic liver disease as distinct opportunities. It just seems like there's going to be significant overlap in the advantages or disadvantages of running one program versus both.
Vipin Garg: Yes, that's a great question, Jonathan. So, I mean, that's the reason we decided to expand the program into AUD and ALD because we believe there is significant opportunity in both of those, and we could be sort of the frontrunner in terms of driving value proposition, additional value proposition for pemvidutide. So, it's not just MASH, AUD and ALD. These are very similar product profile that we are looking for in terms of having this dual mechanism of action working directly in the liver, as well as in case of AUD having reduction of cravings. So, bringing these multiple features together is really important. AUD typically leads to ALD. So, AUD and ALD go hand-in-hand. So, the idea here is that if we can get -- if we can show success in AUD chances that will also be successful in ALD. We've actually already shown the endpoint that we used in MASH one of the NITs is what would be the endpoint for ALD. So, we already have some idea that the drug is working on these endpoints. So, we're very excited about these additional that can be developed independent of MASH beyond MASH.
Operator: We have the next question from the line of Annabel Samimy from Stifel.
Annabel Samimy: Just going back to the product profile and pricing and payer discussions, maybe for Linda. I mean, how -- I understand the potential differentiation, how exciting that could be for MASH. I guess the landscape is shifting a little bit now with obviously, with semaglutide possibly having MASH some combinations that are in development or seeking development with FGF21. So, I guess maybe you can talk about how you think about MASH pricing when we have some of these other alternatives that could potentially help on the liver side, but indirectly and longer term. I just want to think about that because some physicians are really starting to think about payer pushback and cost. So how should we think about that?
Linda Richardson: Absolutely. Perfect question related to the payer landscape. Reimbursement is largely -- you're looking at what is the value proposition of the drug for, I would say, physicians, patients and the payers. You want to have something that's actually doing what it says it's going to do. And the value proposition is based on the data. So, when you test a product that has the activity that we do, we have in 1 drug, 2 mechanisms of action that provide a host of benefits and excellent tolerability to date. Then you look at some of the carving off, what kind of quality weight loss, what are the lipid impacts? What are other things downstream that you're seeing? The total package of the value proposition leads into assessing what it's worth. Instead of someone having to take 2 drugs, and have 2 sets of side effects, 2 co-pays or wait for a development program to bring that together or face tolerability issues that don't allow them to stay on. We see that with some of the GLP-1s currently. We see other products downstream coming together with their combinations, but let's see what their tolerability profiles look like. Let's see not having this 1:1 ratio, what they look like. So, the package of what you can get in a product and the early onset of action, I believe as this is going to become a very crowded marketplace, payers are not going to want to necessarily pay for something that takes 72 weeks to see if it's working, how long do they have to be on this? Is the tolerability there? When you show the MASH resolution that we saw at 24 weeks, which was outstanding. And then you look at the evidence that we provided in antifibrotic activity with via NITs at 24 weeks, we are pretty much pushing up on what everyone else can do in one molecule with all these benefits. So, my plan will be to focus on what we bring to the table, communicating the value of early activity that you can monitor. You don't have to wait 72 weeks to see some sort of improvement. Look at that, look at the total benefits and then see where you fit in the spectrum of what the pricing brackets will be. You're bringing more than a generic, even paying for a generic and another product that you might want to use together is still a different activity than having it all in one. And that's where the value proposition will come as we build additional data as we have other data coming out in the Phase III program that we currently don't even have access to in our 24-week data. So, my plan is to be positioned for the future and drive the very best deliverable assets that we can from this molecule.
Annabel Samimy: Great. That's great context. Just a couple more for me. Just going into AASLD, I know that raising awareness of pemvi is very important. So, can you just give us some color around how you're going to be doing that at the upcoming meeting and how you're going to raise awareness among KOLs? And just on one other quick question, RECLAIM, obviously, enrolled very quickly. How is the ALD enrollment going?
Unknown Executive: All right. So, on the -- on our presence at AASLD, we have a number of activities that we have planned, a lot of engagements with KOL, one-on-one discussions with all of them, with patients advocacy group as well, and we're going to be continuing. I want to remind you that we have also 2 presentations, one oral and one posters that were accepted as late breaker and that will be there at this time. And we also have a receptions where we have a lot of our clinical investigators, principal investigators from our studies and a lot of interest there where we're going to meet as well. So, we're going to have a large presence at AASLD with some very exciting data that will be presented through those late-breaking presentation.
Linda Richardson: And I would just add that having been in the MASH space previously, I do know a lot of the folks who are working with us at Intercept and in hepatology and gastroenterology. And I look forward to rekindling through some of the meetings that we've had set up, relationships with them as well as seeing old friends in the patient advocacy group. So, we are well -- there's -- the company may not have had as many contacts before and Christophe and I being new to the organization, but we will leverage the one from the investigators that we've been working with. And I think really having the podium presentation close at late-breaker is a great way to end that meeting for us.
Vipin Garg: Yes, we'll have a very large presence. So, we are really looking forward to it. It will be very exciting to bring pemvi out in the open.
Unknown Executive: And regarding the ALD enrollment, we are moving forward as planned. We're happy where we are right now with this enrollment. Obviously, the AUD was even more exciting by getting this study enrolled much earlier, which doesn't happen too often, but it's a testament to what the team can do and the interest in this area from patients and physicians. So, we're excited, and we continue to move forward as we anticipated.
Operator: We have the next question from the line of Mayank Mamtani from B. Riley Securities.
Unknown Analyst: This is William on for Mayank. Congratulations on a very nice quarter. Looking forward to seeing the upcoming AASLD presentation. Two for us. In terms of your Phase II 24-week biopsy results, I was curious if you could talk to any new or incremental analysis that you may have performed that we may get. And specifically, do you know if there's, by any chance, any F2 or F3 analysis that you did on the study? And in regards to F4 patients, by chance upon sort of reevaluation of the biopsies were any included in the study and how the data from your F3 patients might inform how pemvi may perform in the F4 population? And then I have a follow-up.
Unknown Executive: Yes. No, we continue to analyze our data. We're -- there's a large amount of informations we can gather that will help us drive some of the Phase III. With regard to those different stages, I want to remind you the design included only Phase II and -- sorry, only F2 and F3 patients. There was no F4 patients. We did some post-hoc exploratory analysis. The sample size are small because the study was designed with a small number of patients. So I'm cautious there. But we are very encouraged by what we're seeing. So, in particular, with these Phase II -- F2, F3 patients. So, we continue to have supportive data to move into the Phase III in this population and look forward to the design of this and discussing this with the FDA.
Unknown Analyst: Got it. And then in terms of RECLAIM, as it's been said, it's obviously enrolled pretty far ahead of plan. I was curious if there's been any type of baseline analysis that's been compiled. And if so, could you touch on how those baseline characteristics may compare to the original plan? And then also how that informs to your interest in your RESTORE ALD trial, where you're also looking at these liver-specific endpoints such as VCT and ELF? And maybe what's the broader data package that you're looking for to collect that would help qualify as Phase III enabling?
Unknown Executive: So with regard to the RECLAIM data, we haven't -- we just finished the enrollment. We haven't done a baseline analysis at this point in time of all this information. Obviously, AUD and ALD are kind of a continuum with the patients in AVD being less severe than the patients in ALD. But there's a clear unmet need in this population, and we are looking at the evolution in those both the most severe and the more -- the less severe populations. This is -- we're going to be looking at different parameters. Clearly, we just mentioned the days of heavy drinking, but as well liver parameters. We know that those population have fatty livers and increase liver stiffness, and we're going to be looking at this as our primary endpoint for ALD. And that's where we are at this point in time. But again, there's -- we hear a lot of enthusiasm around this area.
Linda Richardson: Well, and I think the timing of this, just with the interest in no alcohol drinks, mocktails, dry January. Every week, there's something coming out on alcohol use. And here, again, we have a product that is designed to help on 2 fronts. You can look at the glucagon direct-acting liver effects. I'm thinking if somebody is drinking that much that they want to cut back, they've probably have done a little damage, just may not know it, but they're thinking about their drinking. And then you look at what you would get with the GLP-1 side, which may be helping with cravings. And again, it is one product bringing together 2 activities that do more benefit for patients with a tolerability profile. So, this is really the way we're looking at how can this drug best infiltrate indications that make the most sense, whether it's MASH, whether it's AUD, ALD, you look for where are your strengths and play to your strengths.
Operator: We have the next question from the line of Michael DiFiore from Evercore ISI.
Michael DiFiore: I have 3. The first one, since you said that Europe has approved AI biopsy reads and that you intend to propose the PathAI platform to the FDA later this quarter, what are the practical steps -- next steps once the clearance comes? Like for example, are your imaging and workflow systems already validated for PathAI? Or would there be a ramp-up period before you could implement the AI read in Phase III? And then I have 2 follow-ups.
Vipin Garg: Yes. The way that the AI works is they digitize the slides. And so as long as they have good slides, and we've learned how to do that, that was part of our Phase IIb study. We have excellent specimens and how to handle those. As long as they have good specimens to work with, they have their own proprietary digitalization technique. So, it will be a seamless introduction of that technology into the readout.
Michael DiFiore: Okay. And relatedly, how will NIT tracking actually be implemented operationally in Phase III in terms of frequency, imaging cadence, data interpretation? Any color you could offer on that?
Unknown Executive: So we're going to -- I mean, there's different visits over the 52 weeks with clearly imaging happening at on quarters and 6 months, week 24 and week 48, and then they will be continuing examinations towards clinical outcome for this -- for the patients. And the NITs, we can -- it's much more -- it's much easier to do this more frequently. So, we have different visit schedule that can be even on a monthly basis, especially early on, where we can look at some of the blood-based need and get this information very early. So, we'll get some very nice reads on how those NITs are moving rapidly in the treatment algorithm here.
Michael DiFiore: Got it. And my final question is regards to Lilly's Retatrutide. I know it's very early and a lot needs to happen between now and then. But any thoughts on pemvi's competitive positioning? Should pemvi and Retatrutide compete against each other in the MASH space?
Vipin Garg: Yes. So as you know, Mike, Retatrutide is a triple agonist. And it's really the benefit here is the same as with dual agonist, we believe the 1:1 ratio is more important here because we are balancing both GLP-1 and glucagon activity in the same molecule. So, we are getting full benefit. Glucagon is working directly in the liver, whereas GLP-1 is working indirectly through metabolic effects through weight loss. So really adding GIP on top of that is not relevant for the MASH space. It may be more relevant for the obesity field. So, we think we are very well positioned versus the Retatrutide in the MASH as well as AUD and ALD space.
Unknown Executive: We know and we'll have some new data at AASLD around the anti-inflammatory aspects on the liver level, which is also really important, and we're excited to have really that 1:1 ratio is really important for the direct activity on the liver.
Operator: We have the next question from the line of Andy Hsieh from William Blair.
Unknown Analyst: This is [ Kelsey Lucerne ] on for Andy. We had a question around the preclinical development program for the oral formulation of pemvidutide. Just curious if you could share next steps and time lines for advancing this candidate and any sort of thoughts around positioning relative to the injectable? Will it also be progressing in MASH as an alternative to the injectable form and who you might see as your competitors for this program?
M. Roberts: Sure. Happy to take that question. So, recall that our last earnings call, I expressed a lot of excitement and enthusiasm for what was characterized as appropriately as a breakthrough in our oral formulation program. So, we're continuing to push that forward. Obviously, next steps have to do with an IND in the clinical trial, the timing of that will be more clear on as time progresses here. But as far as how does it fit into the landscape, I think there's 2 important features here that should be appreciated. The first is unlike an oral pill, a small molecule, this is still pemvidutide. It's unaltered. Once it enters the bloodstream following the oral administration, it acts just like pemvi. So we get the long half-life. We get the excellent tolerability profile that we've seen so far. So, we have the best of both worlds, will. We have the specificity and potency of the peptide that is pemvidutide as opposed to a small molecule. And yet, we have the oral formulation. So we're really excited about that potential. And we think that as it stacks up against the others, which the vast majority, as you know, are small molecules, we have a real advantage there. So we're excited about the program. We've made, as I mentioned last time, real headway. We're continuing to progress that, and we'll share more data as appropriate.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I will now hand over the conference to Dr. Garg for closing comments.
Vipin Garg: Well, thank you, everyone, again for joining us. The coming weeks will be incredibly exciting. We look forward to sharing updates on the 48-week data and the end of Phase II meeting with the FDA and hope to see some of you at AASLD. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.